Operator: Greetings, and welcome to the Terex Fourth Quarter and Year End 2022 Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Paretosh Misra, Head of Investor Relations. Please go ahead.
Paretosh Misra: Good morning, and welcome to the Terex fourth quarter and year-end 2022 earnings conference call. A copy of the press release and presentation slides are posted on our Investor Relations website at investors.terex.com. The replay and slide presentation will also be available on our website. We are joined by John Garrison, Chairman and Chief Executive Officer; and Julie Beck, Senior Vice President and Chief Financial Officer. Their prepared remarks will be followed by Q&A. Please turn to Slide 2 of the presentation, which reflects our Safe Harbor statement. Today's conference call contains forward-looking statements, which are subject to risks that could cause actual results to be materially different from those expressed or implied. In addition, we will be discussing non-GAAP information and performance measures we believe are useful in evaluating the company's operating performance. Reconciliations for these non-GAAP and performance measures can be found in the conference call materials. Please turn to Slide 3, and I'll turn it over to John Garrison.
John Garrison: Thank you, Paretosh, and good morning. I would like to welcome everyone to our earnings call and appreciate your interest in Terex. We are proud of our team members' performance that delivered strong results in 2022. It was another year of addressing a challenging global operating environment, including inflationary pressures, production disruptions and COVID impacts. The Terex team members worldwide work tirelessly to improve our performance for our customers, dealers and shareholders. I would like to thank our team members for their continued commitment to our Zero Harm safety culture and Terex Way Values. Safety remains the top priority of the company, driven by think safe, work safe, home safe. Please turn to Slide 4 to review our financial results. The team delivered an excellent quarter. Sales of $1.2 billion were up 23% from last year and up 31% on an FX neutral basis. We ended 2022 with a backlog of $4.1 billion, up 22% from prior year, driven by strong global customer demand. Operating margins of 9.9% improved 290 basis points from the prior year, and EPS of $1.34 increased 63%, reflecting strong execution by our team members. Please turn to Slide 5. We significantly strengthened our business in 2022 through our execute, innovate and grow strategy. We proactively managed supply chain disruptions and inflation to deliver a 28% increase in operating income, a 41% improvement in EPS, a return on invested capital of 21.3% and we achieved price cost neutrality for the year. We introduced the first and only all electric utility bucket truck. We expanded our concrete product offering with the acquisition of ProAll. We prioritized our focus on the circular economy by introducing new system solutions to our environmental and recycling customers and through the acquisition of ZenRobotics. We invested in biotech and Acculon, which accelerated our product electrification strategy. This week, we announced an equity investment in electronics and entered into a co-development agreement to create potential robotic applications for Terex products. And we continued our investment in technology, new product development and our Mexico facility, which continues to progress on time and on budget. I am proud of our team members' accomplishments. Turning to Slide 6. In our recent Investor Day, we presented five key theme to our strategy that will drive our growth for the next several years. The first is, capitalizing on mega trends, which are driven by an increasing focus on sustainability. Our products are well positioned to benefit from electrification, waste recycling and infrastructure investments. We'll continue to grow our Materials Processing segment through innovation and by expanding into adjacent markets and categories. We will optimize Genie's performance through the cycle in sales growth and margin improvement. We see attractive opportunities for growth in our utilities business driven by electrification. And we have a strong and growing parts and service business, which not only offers us countercyclical growth, it also provides critical value to our customers. This year, we'll continue to make progress on our strategic growth priorities, including Genie's focus on continuous margin improvement. The Genie team is going to have a busy year. We anticipate moving multiple production lines throughout our global footprint and opening our new permanent facility in Monterrey, Mexico. The new facility and local Mexico supply chain are expected to improve our operating margins by 200 basis points when fully up and running in late 2024. But these moves will negatively impact production volumes and manufacturing efficiencies in 2023 and our outlook reflects this. Please turn to Slide 7. Our MP and AWP segments participate in diverse end markets globally, which is a strength providing many growth opportunities. We believe our growth will be further accelerated by global megatrends. At the center of these megatrends is sustainability. The increasing global focus on sustainability is driving a fundamental shift in how the world operates, providing additional opportunities for Terex. The global demand for waste recycling solutions is increasing, driven by regulatory and societal changes. Our MP brands, including Ecotec, CBI and Terex washing systems, were at the forefront of meeting demand for circular economy initiatives. The increase in reliance on electrification to reduce greenhouse gas emissions requires great capacity expansion. Terex utilities is well positioned to capitalize on the investments needed to enhance electrical grid infrastructure. Our Genie business will benefit from new product driving digitization and onshoring in the United States. All of our businesses will benefit from increased government sponsored infrastructure spending throughout the globe. As we discussed at our Investor Day, we see many growth opportunities by providing solutions that support our customers' ESG objectives. Please turn to Slide 8. Our innovative products are delivering sustainable solutions for our customers. Fuchs material handlers, part of our MP segment, are versatile machines capable of handling various materials. Importantly, Fuchs is diversifying into port applications. You can see a Fuchs material handler, which is powered by the shift to battery hybrid system unloading bulk materials. As a result of our products, these ships' operations produced zero emissions and reduce noise levels in the harbor. Another example of Terex helping our customers in achieving their sustainability goals. Please turn to Slide 9. We are proud to report that in 2022, Newsweek recognized our commitment to sustainability, naming Terex one of America's most responsible companies. We recently published our 2022 ESG report, where we highlighted the results of our first ESG materiality assessment. Our products and our people were identified is among the most essential to our sustainability journey. Terex products help our customers meet their sustainability goals, and reduce negative impacts to the environment. At the end of 2022, approximately 60% of MP and 70% of Genie products offered electric or hybrid options. Terex Utilities was the first to market and continues to offer the only all-electric utility bucket truck, and MP will continue to expand its waste and recycling offerings. Additionally, we commenced energy audits at our sites, enabling us to identify and implement actions that are important for achieving our goal of a 15% reduction in both greenhouse gas and energy intensity by 2024. With respect to our team members, diversity, equity and inclusion continues to be embraced and driven throughout the organization. Our Affinity Groups further expanded in 2022 from eight to nine and participation rose two fold. In summary, Terex remains highly active in the ESG activities and we will provide updates throughout the year. Turning to Slide 10 to review our current macroeconomic environment. Our 2023 growth will continue to be constrained by supply chain issues. Supply on time delivery has improved sequentially, but remains well below historical norms. The team was able to reduce, but not eliminate the hospital inventory in the fourth quarter, which is a clear indication of the level of disruptions our teams continue to face. Although selected costs have improved in some markets, we continue to see overall cost increases from our suppliers as inflation works its way through the various tiers of the supply chain. I'm confident in the team's ability to continue to adapt and overcome the macroeconomic challenges that we have been facing. And with that, let me turn it over to Julie.
Julie Beck: Thanks, John, and good morning, everyone. Let us take a look at our fourth quarter financial performance found on Slide 11. Terex team members continued their solid execution in a dynamic environment. Sales of $1.2 billion, were up 23% year-over-year on higher volume and improved price realization necessary to mitigate rising costs. Sales in constant currency were up 31% as foreign currency translation negatively impacted sales by $82 million or approximately 8% in the quarter as the euro and British pound weakened against the dollar. Gross margins in the quarter increased by 190 basis points over the prior year as volume, pricing, favorable mix and cost out initiatives offset cost increases and the negative impact of foreign exchange rates. Both of our segments increased our gross margins from last year and we were price cost neutral for the year. SG&A was in line with expectations, but up over the prior year as a result of inflation, incremental spend due to acquisitions and prudent investments in new technology and new product development. SG&A was 9.4% of sales and decreased by 90 basis points from the prior year as business investment was coupled with continued expense management. Income from operations of $121 million was up 73% year-over-year. Operating margin of 9.9% was up 290 basis points compared to the prior year. Interest and other expense of $15 million was higher than the fourth quarter of 2021 due to increased interest rates. The fourth quarter of 2021 benefited from a one-time $12 million gain associated with the Genie administrative office relocation. The fourth quarter global effective tax rate was approximately 13% due to onetime discrete items, including the reversal of a German valuation reserve. Fourth quarter earnings per share of $1.34 increased 63%, representing a $0.52 improvement over last year. This strong performance was driven by volume, price and discipline cost control. Current quarter results reflect an unfavorable EPS impact of $0.12 dollars per share from foreign currency and the fourth quarter of 2021 results included a $0.14 dollars gain due to the Genie administrative office relocation. Free cash flow for the quarter was $126 million. I will discuss free cash flow later in more detail. Let's look at our segment results, starting with our Materials Processing segment found on Slide 12. MP had yet another excellent quarter with strong operational execution resulting in sales of $550 million, up 21% compared to the fourth quarter of 2021 with robust customer demand for our products across multiple businesses. On foreign exchange neutral basis, sales were up 32%. The business ended the quarter with a total backlog of $1.2 billion, up 12% from a year ago. The strong backlog is approximately 3 times historical norms and supports our 2023 sales outlook. MP benefited from favorable regional and product mix and effectively overcame cost increases resulting in price cost neutrality. This drove an increased operating margin of 200 basis points to 15.8%, while integrating several acquisitions. Again this quarter and for the full year, MP represents approximately 60% of the overall Terex operating income and continued its strong and consistent revenue and operating margin performance. On Slide 13, see our aerial work platform segment financial results. AWP delivered sales of $672 million, up 26% compared to the prior year on higher demand and pricing. On a foreign exchange neutral basis, sales increased 32%. Total backlog at quarter end was $2.9 billion, a record, up 27% from the prior year. Customer demand continues to be strong due to high utilization rates, aging fleets and electrification projects. AWP more than doubled their operating profit and delivered operating margins of 8% in the quarter, up 320 basis points from last year. The improvement was a result of higher sales volume, favorable mix, cost reduction initiatives, strict expense management and disciplined pricing actions. Partially offset by product liability expenses in our utilities business. Turning to Slide 14 and full year 2022 financial highlights. Our performance in 2022 reflected strong improvement in the business and the extraordinary efforts of our team members. Earnings per share increased 41% from $3.07 to $4.32, $1.25 improvement, including a negative FX impact of $0.42 per share. $Sales of $4.4 billion were up 14% year-over-year, 20% on an FX neutral basis as end markets remain strong. Operating margin of 9.5% expanded 110 basis points, driven by prudent cost management as well as price realization. SG&A was 10.2% of sales and decreased by 80 basis points from the prior year, reflecting focused cost management. Free cash flow of $152 million was up 21% year-over-year, including additional inventory as supply chain disruptions continue. Please see Slide 15 for an overview of our disciplined capital allocation strategy. Our financial performance this year continued to strengthen our balance sheet and provides a financial flexibility. Our ROIC of 21.3% significantly exceeded our cost of capital. We returned $132 million to our shareholders in share repurchases and dividends. We prepaid the remaining $78 million of our term loan. We continue to invest in our business with capital expenditures of $110 million and we deployed $50 million on acquisitions and investments. We have no debt maturities until 2026 and 77% of our debt is at a fixed rate of 5% until the end of the decade. Our net leverage remains low at 1 time, which is well below our 2.5 times target through the cycle. We have ample liquidity of $727 million. Yesterday, we announced a 15% increase to our quarterly dividend to $0.15 per share. The increase reflects our continued confidence in the company's strong financial position and future prospects. In December, our Board expanded the size of our share repurchase program by $150 million, leaving us with approximately $193 million of remaining authorization to purchase shares. Terex is in an excellent position to run and grow the business. Please turn to Slide 16 to review our backlog. Consolidated 2022 bookings remained at healthy levels and were the second highest booking rate in recent history. Elevating customer fleet ages and historic loan dealer inventory levels continue to support robust demand. We had minimal cancellations and push outs. Our total backlog position is up 22% versus the prior year, demonstrating the strength of our end markets and giving us visibility into 2023. Now turning to Slide 17 to review our full year outlook. As we move into 2023, it is important to realize we are operating in a challenging supply chain environment with many variables such as high inflation, volatile exchange rates and geopolitical uncertainties, so results could change negatively or positively. With that said, this outlook represents our best estimate as of today. We anticipate earnings per share of $4.60 to $5 based on sales of $4.6 billion to $4.8 billion, which reflects progression towards our five year financial targets we reviewed with you at our Investor Day in December. Our sales outlook incorporates the latest dialogue with our suppliers and our current supply chain expectations. We anticipate higher volumes as customer demand remains strong and expect pricing actions to offset cost pressures. We expect the first half and the second half sales to be comparable with the second and third quarter sales modestly higher. SG&A of approximately 10.5% of sales reflects prudent investment in the business, including our team members, new product development engineering and digital initiatives and the full year impact of 2022 acquisitions. We expect Corporate and Other to be evenly spread throughout the year. We anticipate operating margin for the year to be in the range of 10% to 10.4% as we remain price cost neutral for the year. Based upon global tax laws, we expect a 2023 effective tax rate of approximately 21%. This is an increase from 2022 as discrete items are not expected to repeat. Unfavorable foreign exchange rates, higher interest and other expenses and the normalization of our income tax rate combined amount to a $0.35 per share unfavorable impact. We estimate free cash flow of $225 million to $275 million, including capital expenditures of approximately $135 million, with the largest component being our Genie Mexico facility. Let's review our segment outlook. MP sales of $2 billion to $2.1 billion and AWP sales of $2.6 billion to $2.7 billion reflects strong customer demand with continued supply chain constraints. MP's strong segment margins are expected to continue to increase to approximately 15.5% for the full year and are anticipated to be lower in the first quarter due to slightly reduced volumes and higher marketing costs and relatively balanced for the remainder of the year. The AWP segment continues to be impacted by supply shortages, AWP segment operating margins of approximately 9% are expected to be comparable in the first half and the second half with the second and third quarters being slightly higher. Operating margin expansion is expected due to price realization, increased volume, continued strict expense management, partially offset by unfavorable manufacturing efficiencies. As I mentioned earlier, our scheduled production line moves are expected to impact manufacturing efficiencies throughout the year. The Terex team will continue to demonstrate resiliency to deliver sales growth, operating margin expansion, increased free cash flow and higher earnings per share in 2023. And with that, I will turn it back to you, John.
John Garrison: Thanks, Julie. Turning to Slide 18 to conclude our prepared remarks. Terex is well positioned for growth to deliver long-term value for our stakeholders in 2023 because we participate in strong end markets, including infrastructure, electrification and environmental. We'll continue to execute our disciplined capital allocation strategy, while investing in new products and manufacturing capability, along with strategic inorganic growth. We have demonstrated resiliency and adaptability in an increasingly challenging environment and we have great team members, businesses, strong brands and strong market positions. And with that, let me turn it back to Paretosh.
Paretosh Misra: Thanks, John. As a reminder, during the question-and-answer session, we ask you to limit your questions to one and a follow-up to ensure we answer as many questions as possible this morning. With that, I would like to open the [indiscernible]. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Michael Feniger from Bank of America. Please go ahead. Your line is open.
Michael Feniger: Hi, guys. Thanks for taking my questions. Just like to ask actually about materials processing. It keeps out the forming delivered a record high operating margin in the fourth quarter. Just what is underpinning that strength? Can that continue in 2023? And maybe just why only 20 bps margin expansion in the guide for next year?
John Garrison: Thanks, Michael, and also thank you for recognizing the MP performance. MP continues to deliver consistent outstanding performance. As Julie indicated in her opening comments, represents more than 60% of our overall Terex operating margin. But the strength really comes from the global presence of the businesses. If we look at it, we've seen strong sales, healthy bookings, elevated backlogs. We've got almost 3 times the normal level of backlog in this business as we look forward into 2023. So healthy backlog, healthy bookings. And then if we look at our respective verticals that we compete in, in our aggregates business, the largest portion of the MP segment, again, similar story. The global healthy bookings and backlog I think it's important for investors to understand that this business caters not just a virgin aggregates, but it also caters to the recycling side. And when you see construction demolition waste, when you see changes in practices around the world, that creates opportunities for our aggregates business. So we're seeing good strength globally in our aggregates business. In our concrete business, advanced mixer, that we did see a good order activity, good backlog. We watch that very closely because that one is tied a little bit closer here in the states. It's a U.S. based business to residential construction. But the team just came back from World of Concrete, they had a good showing and they're anticipating good continued strong order growth and backlog there on the concrete side. ProAll, the acquisition that we made in the middle of last year, continues to see strength. That's more tied to infrastructure investment and continues to see strength in their bookings and backlog as well. In my comments, I mentioned Fuchs. Fuchs, we did see that soften somewhat as we talked about last -- in our last earnings call, that principally was driven by conditions in Europe and the decline in scrap metal prices because they are levered to scrap metal. They're diversifying, as we indicated in the ports and other applications. And again, historically, pretty decent position from a backlog standpoint, but we did see a modest slowdown in bookings around Europe and our Fuchs business. Environmental continues to grow. Substantial increase year-over-year globally both in bookings and backlog associated with our environmental business. And then our RTs and tower businesses, again, more levered to Europe. We did see some weakness or slowdown in orders, but overall backlog against history still remains in a healthy position, but again, more levered to Europe there. So we did see some modest slowdown in our bookings in that segment of the business. And then finally, our Pick & Carry business down in Australia continued to show strong strength. I was in India last week at the CONEXPO bauma show and Indian market customers were strong. We just launched our [front-end] (ph) product there, met with several customers and dealers that had taken delivery of the product. So again, our Pick & Carry business remains strong. So overall, Michael, we're just seeing strong healthy bookings. The other important factor that we'll continue to report on because I think it's important given the level of backlog that we're experiencing is we're not seeing cancellations and push outs. That's the first sign for us. If we begin to see the backlog begin to move around with cancellations and push outs, and we're just not seeing that at this time. So that will be the first indication. We acknowledge there's macroeconomic uncertainty out there, but despite that, we're seeing strong bookings, great backlog, great visibility as we look into 2023 in the MP segment.
Julie Beck: And Michael, just to add on to that, MP represents 60% of our operating income, and they had a terrific year in 2022. And we expect margin expansion to continue in 2023, and we expect them to continue to be price cost neutral for the year. They're operating in a disruptive environment, too. They have all of the supply chain disruptions and they've still been able to deliver a strong OP margins. And so, we expect them to expand, but we're also going to invest in this business. We're going to invest in new product development. We're going to invest in digitalization and we're going to invest in and people are traveling again and trade shows and things like that. And so there's going to be some marketing expenses in this business as well. And they also will have some unfavorable foreign exchange from the British pound to the U.S. dollar in 2023. So they've just done -- and they also will absorb some additional SG&A due to acquisitions that we did in 2022. So we're expecting continued strong financial performance from MP and expanded margins.
Michael Feniger: Thank you. And just a follow-up on that. I mean, when you look at the material processing comps in the public market, Terex is trading at a notable discount. Is there anything structurally disadvantaged with your materials process unit compared to those peers? How do you try to close that valuation discount? Could you use your balance sheet to repurchase shares? Just any thoughts on that would be helpful. Thanks.
John Garrison: Thanks, Mike. Some broad questions. I think part of our job is to better explain the great portfolio of businesses that we have in MP, we didn’t started doing that during our Investor Day, we'll continue because if you look at that portfolio, it’s consistently performed throughout time in terms of driving revenue growth and margin expansion. In terms of our disciplined capital allocation strategy, we're going to continue to invest in organic growth first and foremost, we're going to invest in dividend. We increased the dividend. I hope everybody saw that announcement of 15% increase in dividend. So we'll continue to do that. We have the ability to invest for M&A activity. So we'll look there that's a focus area. And then we did increase our share repurchase authorization and you can anticipate that being definitely to offset dilution associated with incentive comp is more of the focus right there for now. But we're always looking at ways to enhance stakeholder and shareholder value in the corporation, and we'll continue to do so, Mike.
Operator: Our next question comes from Stanley Elliott from Stifel. Please go ahead. Your line is open.
Stanley Elliott: Hi. Good morning, everyone. Thank you for the question and congratulations. Quick question on the backlog, up 22%, at the same time, you guys are mentioning low dealer inventories in MP aged fleet and across the channel. Really, do you think kind of what's in your backlog will have much of an impact on either replenishing dealer inventories or bringing down the fleet age in the coming year? And I guess it's kind of a way to say maybe some of that could spill over into 2024.
John Garrison: So, thanks for your question, Stan. We do have historically high backlogs as we go into the year, if you just look at our coverage for 2023. And our backlog stand is already $700 million for delivery in 2024. A lot of that is associated with supply chain. So I do believe -- and again, on the MP side, dealer replenishment, dealer inventories are low, I think this is going to help, but they're seeing strong growth. And so, as soon as products come in, in that business, about 70% goes to the distribution channel, especially rental. They do a lot of rental purchase agreement type contracts. So it's being heavily utilized. The customers are converting it from the rent to ownership. And so, we are having a hard time replenishing the dealer inventory. So I think that's part of the strength there. And then on the AWP side, we can talk more about that. But clearly, with the constraints on the industry in terms of meeting the needs of the rental customers, the fleet replacement has been delayed and one of the benefits of 2023, and we think even beyond 2023 is that fleet age has increased, which is going to increase the replacement cycle as we go forward, specific -- that comment specific to the GE business, Stan.
Stanley Elliott: Perfect. I apologize if you touched on it at the first part of the call. But the robotics announcement from earlier this week, I thought was very interesting. Could you kind of talk high level how you think this will end up playing out from this co-investment that you've put together?
John Garrison: Yes. Thanks, Stan, and I hope everybody had the opportunity to see that. It wasn't an equity investment in electronics that we made. But the biggest part for us is co-development of robotic technology and really is to provide our customers with solutions to help safely and efficiently conduct work. If you think about job sites, labor constraints, skilled labor trade constraints, there's an opportunity to enhance the outside productivity and safety through robotic technology. Electronics is on the forefront of that. So if you take their capabilities with our capabilities of our existing machines married the two together, you have the opportunity to potentially provide solutions to the end market customers to enhance, again, their productivity and safety. And that's the reason we made the investment. We view this as an investment in technology that enhances the solution offering that we provide our customers going forward. And so, we're excited about the investment we've made, very excited about the co-development agreement. And we're excited about what the potential opportunity of this going forward.
Stanley Elliott: Yes. It sounds like there will be a lot of opportunity I guess on the MP side from a sorting perspective. But thanks very much for the color. And congratulations and best of luck.
John Garrison : Thank you, Stan.
Julie Beck: Thanks, Stan.
Operator: Our next question comes from Seth Weber from Wells Fargo. Please go ahead. Your line is open.
Seth Weber: Hi. Good morning, everybody. John, I just wanted to get a little bit more clarity around your comments around the Monterrey move and the disruption to, I guess, productivity and margin that you expect for 2023. I guess first question is, did that impact fourth quarter March, AWP margin? And just sort of how should we think about that flowing through the year? Does that -- do you exit 2023 at a fully operational level and then 2024 should reflect all these benefits? Or does this continue to bleed into 2024? Thanks.
John Garrison: Yes. Thank you. I'll start Julie and then you can jump in on that longer-term margin side. So the disruption, it really doesn't start until first quarter. We began to move into the permanent facility, Seth, in the first quarter. And we had a significant number of product line moves. First GE has done this. They've got a detailed process for doing this. But in the environment we're in now, both sides of the transaction, i.e., the sending plant is going to have some disruption associated with the supply chain in the receiving plant. And in this case, Monterrey is going to have some disruption, which impacts manufacturing efficiencies. And so, we've factored that into our outlook. It will take place during 2023 and will continue into 2024. As we indicated in our remarks and as we spoke during Investor Day, it ultimately is going to add about 200 basis points of operating margin improvement when we're up fully and running as we really get closer to the back half of 2024. So that's our current outlook. And again, it's going to be a busy year for the team. They're excited. The construction has gone well. It's on time, it's on budget and now it's time to start moving the product lines in there and reaping the benefits of the investment that we're making.
Julie Beck: And Seth, just to follow-up on some of the Q4 margin commentary. The AWP, their margins were up 320 basis points from last year. So really nice results in higher sales volumes and they had strict expense management and cost reduction initiatives and disciplined pricing. And when we look at Q4, the margins were really as expected. We had talked about last time we had some fewer production days, less favorable geographic and product mix and unfavorable foreign exchange impacting AWP. And our utilities business continues to experience the supply disruptions due to chassis and bodies. And so they had unfavorable manufacturing efficiencies and some things that were maybe newer, I guess, that we had some weather-related shutdowns and product liability expenses in the utility business, as well as the change of facility with temporary shutdown due to COVID cases. But the Terex, the team did a really great job to more than double their operating profit and increase their margins by 320 points in the fourth quarter. So pretty much, we had some nice performance by the team.
Seth Weber: Yes. Okay. That's helpful color. Thank you. And then just a quick follow-up. John, I think you called out some softness in in Europe in the Fuchs business and the crane business, tower business. Is that -- are you seeing the pausing on European orders on the access business as well? Or is it really just the ones you called out?
John Garrison: We did see a modest slowdown in orders on the AWP side in the quarter. But that said, we still have strong -- historically strong backlog. So a little bit of moderation on the booking level, but strong backlog as we go into 2023.
Seth Weber: And that's -- just to clarify, that's your comments around Europe.
John Garrison: Yes.
Seth Weber: Okay. Super helpful. Okay. Thank you very much. I appreciate it guys.
John Garrison: Thank you.
Operator: Our next question comes from David Raso from Evercore ISI. Please go ahead. Your line is open.
David Raso: Hi. Thank you for the time. With AWP for 2023, right? You've got 94% of the sales guide in the backlog that ships this year. So clearly, this is a year about, I mean, supply chain inefficiency, supply chain broadly as a gating factor -- factor, I should say. The question I have though is, the order books for 2024, how are we handling the out-year maybe differently than the past. And I want to go back to the Mexico risk of that transition. I know it's justified 200 basis points of margin improvements worthwhile. But I'm just trying to make sure we don't look up in a couple of quarters in Mexico in this challenging supply environment becomes more of a risk, more of a drag on that transition. So again, two questions there, 2024 AWP, how are we handling the order books versus history? And again, just how do we get more comfort that it's not the easiest time to be transitioning production?
John Garrison: Thanks, David. So in terms of the order book, as we indicated, we've got about $700 million total company Terex wide of backlog into 2024. And it's -- more of that actually is utilities than the Genie business, where especially some of our highly customized units are booked well out into 2024 in that business. And then in terms of the Monterrey, Mexico, again, we just thought it was appropriate given the level of change to highlight it as part of the Genie plan for this year. Again, David, they've done this numerous times. The supply chain is -- remains the gating factor. We will closely manage this and ensure we've got the appropriate level of material on the sending plant, as well as the receiving plant to mitigate the disruption to the maximum extent possible. But given the level of magnitude of change, we thought it was important for us to at least highlight it, and that explains some of the margin or why it's taking time, why aren't you just getting 200 basis points of margin immediately? That's the why. It takes time to bring the plant up -- to get the plant up and operating, get the supply chain up and operating and stabilized and then over time, quite confident it's going to deliver that level of margin improvement for the Genie business.
David Raso: And can you touch on the order books, how you're handling 2024 or let's call it the out year differently than the past?
John Garrison: So in terms of the…
David Raso: How early the order -- I mean, opening the window up earlier [indiscernible] you don't usually start the year with 94% of your guidance.
John Garrison: [Multiple Speakers] You're right, David. We don’t usually start the year with 90-plus percent book for the year. So yes, we are -- and again, we're working with our customers, frankly, in the AWP segment, right now, the customers are asking more than we -- more than we can currently deliver. So we're in constant dialogue with our customers if we see some improvement in supply chain by specific models, we let them know. And so we are taking orders into 2024. Again, most of that David is because of the supply chain, not that the customers necessarily are looking forward to 2024, but that’s when we're able to deliver the product is in 2024.
David Raso: Thank you for the time.
John Garrison: Thank you, David.
Operator: Our next question comes from Nicole DeBlase from Deutsche Bank. Please go ahead. Your line is open.
Nicole DeBlase: Yeah. Thanks. Good morning, guys.
John Garrison: Good morning, Nicole.
Julie Beck: Good morning.
Nicole DeBlase: Hi, Julie. Just maybe to continue the conversation that David just started. One more question on this backlog that extends to 2024. How are you guys handling the pricing aspect of that given all of the uncertainty around inflation?
Julie Beck: So in the call we're making our best estimate of what that is going to look like, and that's the answer. And we just make a best estimate. And we [Multiple Speakers]
Nicole DeBlase: And there is a pricing -- there's a lot of price associated with that. It's not like the customer has to wait until pricing is confirmed at some point in the future.
John Garrison: Yes, that's correct.
Nicole DeBlase: Okay. Understood. And then, to follow up, just with respect to what you guys are embedding for free cash in 2023. Can you talk a little bit about the expectation for working capital?
Julie Beck: Great question. Thanks, Nicole. So we are expecting our free cash flow to improve in 2023, it improves for two reasons: number one, improved earnings and net income. And then second, we had a significant investment in inventory in 2022. We expect additional working capital to support the additional volumes in an absolute dollar term in 2023 for the much less lower inventory build in 2023 than we had in 2022. So we'll be more working capital efficient going into 2023 than we experienced in 2022.
Nicole DeBlase: Thank you. I’ll pass it on.
Julie Beck: Thank you.
John Garrison: Thank you, Nicole.
Operator: Our next question comes from Steve Barger from KeyBanc Capital Markets. Please go ahead. Your line is open.
Steve Barger: Thanks. With supply chain being the limiting factor, how much revenue did you deduct from the 2023 range you provided? And can you just tell us what revenue level each segment could ship to unconstrained?
John Garrison: So I'll take it, Steve. If you look at our revenue guide for the year and you think about 2022, we were between -- just at the macro level across Terex. We were between $1 billion and $1.1 billion and then stepped it up in the back half of the year to [$1.50 billion to $1.2] (ph) billion type of range. We're anticipating modest supply chain improvement, but not anywhere near historical performance. So if you kind of look at our fourth quarter run rate, we've kind of extended that into 2023. And again, that's based on the current estimates from suppliers and managing to the current constraints. The challenge is, this constraint continues to move around. And so we -- our guide is predicated, as you can see, based on our backlog and the coverage rates. The guide really is predicated on the supply chain. It's our best estimate in current conversations with suppliers in terms of what they can deliver to, and that's what we've built our 2023 outlook on. In terms of what could happen, you can go back years before, and we were significantly above those levels, especially in the AWP segment. But again, it's really -- the constraint gives the supply chain, and that's the governor for 2023 as of today. Julie?
Julie Beck: Yes. I just going to add that we have been running at $1 billion to $1.1 billion for consistently. And in fourth quarter, we were able to go up to $1.2 billion. And so our guidance for this next year is $1.1 billion to $1.2 billion, which is consistent with what our supply chain has been able to deliver.
Steve Barger: No, totally understandable. I guess what I'm trying to get to is, could you run comfortably above $5 billion in an unconstrained environment, given how you're thinking about capacity and the footprint shifts you've made?
John Garrison: In the future, yes. Again, we -- and I think it's important, Monterrey, Mexico does add some incremental capacity, but what it fundamentally does is alter our competitive position from -- for being globally cost competitive as we go forward. So again, if you go back in time, we've definitely produce specialty in AWP segment, but as well in the MP segment, we've produced at higher levels. We would have that opportunity if the supply chain could support. There are some labor constraints in certain markets that we would have to navigate. The biggest labor constraint that we have is in our Redman area, we're leading that with our move in the Monterrey, Mexico. So yes, there is opportunity in the future to produce more, given our footprint it really is getting the supply chain to deliver consistently, both continuity and quantity. And I might add, there is a lot of work that we're doing with our supply chain now, not just on the continuity of supply, i.e., on-time delivery, but also with the suppliers about in terms of what we need in the future as we think about the future growth opportunities for the business, giving them those indications. So it's both continuity of supply [indiscernible] base as well as quantity, but the constraint in 2023 is the supply chain.
Julie Beck: And just to add to that, Steve, as we move from Redmond, some moves from Redmond, there'll still be production facilities in Redmond going forward. It's just a partial several lines moving down to help with some of the labor shortage we've experienced in Redmond.
Steve Barger: Got it. And then just one quick one. I watch the [Optronic] (ph) videos. It seems like interesting technology. And John, I hear you on enhancing safety and productivity, but can you be more specific about how you're imagining that embedded in the Terex projects?
John Garrison: Yes. So as Stan mentioned, we did the ZenRobotics. So that was taking in sorting. There may be some overlap in terms of the two there. In terms of Optronic, think about were enhancing an operator a skilled trade on a scissor lift or on a boom lift or in a bucket truck, is the opportunity to enhance that, reduce the amount of labor instead of two skilled treatment or women in a boom lift can you cut back to one. And so we've got some ideas. We've got some concepts. They have some ideas and concepts, we put the two together, and there may be a real opportunity to bring some technological advancements into that construction center that -- and the EPC contractors will tell you, it's desperately needed because one of their biggest constraints is labor. So we're trying to provide labor productivity improvements and safety improvements. And we're excited. We'll see where it goes, but we think there's going to be some real opportunity there.
Operator: Our next question comes from Steven Fisher from UBS. Please go ahead. Your line is open.
Steven Fisher: Thanks. Good morning. I'm just trying to get a sense of the volume growth that you have embedded in your guidance for the Materials Processing segment for 2023. I know you mentioned, John, a lot about the strength of the bookings and the backlog. But revenues in the guidance are only up mid-single digits. So I guess presuming you do have some pricing, it doesn't seem like the volumes are up much unless there's a big FX drag on the revenue guide. So I don't know if it's maybe you're just taking orders that the supply chain won't allow it to deliver, but just how to think about the volumes embedded there for 2023?
Julie Beck: So [indiscernible] question, I would say that the MP business has been dynamic throughout the year and they've been price neutral throughout 2022. And so they've done a really nice job of managing that. And we expect that to continue into 2023. We would expect them to have more volume than price and being offset by a couple of percentage points of foreign exchange in 2023.
Steven Fisher: Okay. That's helpful. And then on the AWP bookings year-over-year, I'm just curious, are we comparing apples to oranges there in the fourth quarter, meaning, I guess, to what extent are you restricting orders now versus maybe you weren't doing a year ago? Or is it a fair comparison that there's really no restriction on the bookings time frame at this point?
John Garrison: It's a good question, Steve, really in both segments because of the extended backlog booking patterns have been disrupted. And so we have continuing ongoing discussions with our Genie customers, our utilities customers and our MP distributors as well. So in the case of MP, some of the order books weren't open and they'll open up. In the case of AWP, it's the ability to take the orders, be very clear with customers what we can commit to, what we can't commit to and the timing. And so it's a fair assessment that the historical booking patterns have been disrupted in both businesses. As a result of the strong order activities from backlog, it has disrupted the traditional flow. And in the case of Genie continuing ongoing discussions with our national accounts as we speak.
Steven Fisher: Okay. Thanks, John.
John Garrison: Thank you.
Julie Beck: Thank you
Operator: Our next question comes from Tami Zakaria from JPMorgan. Please go ahead. Your line is open.
Tami Zakaria: Hi. Good morning.
Julie Beck: Hi, Tami.
Tami Zakaria: Hi. How are you? So my first question is, can you remind us how much of your SG&A is fixed versus variable? Should you see some unexpected slowdown in demand, let's say, sometime in the near future? How quickly can you dial back on SG&A?
Julie Beck: So Tami, thank you for the question. I think we've done a really nice job of managing SG&A, and we will continue to manage SG&A going forward. And as you know, historically, the business over the last several years, particularly the AWP business has taken out significant costs in SG&A. So we have -- we, at this time, feel that it's appropriate to invest in the business in terms of product -- new product development, in terms of digitalization, in terms of those types of initiatives. There will be some increases, as I mentioned, just things like trade shows. We have three of them this first quarter and people are traveling some expenses that we didn't have in 2022 due to COVID. So we're making prudent investments, and we'll continue to prudently manage SG&A going forward.
Tami Zakaria: Got it. That's very helpful. And then going back to your price cost neutral assumption for the year, it seems like you have some pricing embedded in your top line, but raw material costs have come down notably from last year. So why wouldn't you be price-cost positive in 2023?
Julie Beck: So let's talk about -- first of all, thanks for the question. Let's talk about costs. So first of all, we are still seeing overall inflation in the supply chain. So our suppliers are still coming with increases. So even though there are certain things like an HRC still that may be coming down. Overall, it takes a while for the inflation to work through the various tiers of the supply chain. We're still seeing increased costs going into 2023 at this point in time. So we don't see prices coming down. We will offset. Our goal is to be priced cost neutral for the year, and we're pricing our products according to that and we're very transparent with our customers.
Tami Zakaria: Got it. Thank you so much.
Julie Beck: Thank you.
John Garrison: Thank you Tami.
Operator: Our next question comes from Jamie Cook from Credit Suisse. Please go ahead. Your line is open.
Jamie Cook: Hi. Good morning and nice quarter. [indiscernible] One, on the utility side, understanding utility was a drag in -- on your AWP margins in 2022. Can you quantify that? And then does that continue to be a drag on margins in 2023? And then I guess my second question, understanding what you just said about price cost for the year, but is there anything to be cognizant of when we're thinking about the cadence of price cost throughout the quarters, first half versus second half? Thank you.
Julie Beck: Okay. Thanks, Jamie. First of all, yes, the utilities business was especially impacted by supply chain shortages this year. The bodies and chassis were really difficult. And so as we said, that the utilities margins have been below the segment average in 2022. Going into 2023, we expect the utilities margins to improve, along with the Genie margin. So we expect this overall segment margins to improve. In terms of price cost, et cetera, we're at this point in time at first half, second half, pretty much the same. We'll have -- the first half will have some pricing increases that we took later in like the second quarter that will come through into Q1. But from a cost perspective, we expect that to be relatively balanced throughout the year.
Jamie Cook: Thank you.
John Garrison: Thank you, Jamie.
Operator: Our last question will come from Stephen Volkmann from Jefferies. Please go ahead. Your line is open.
Stephen Volkmann: Hi. Thanks, guys. Most of my questions have been answered. But John, I think you mentioned that 60% of MP and 70% of Genie product has sort of an electrical option. I'm curious what you're seeing in your backlog, given how long it goes. Are you seeing meaningful uptake of those electric units? And then I have a quick follow-up.
John Garrison: In terms of the backlog, yes, we are seeing an improvement meaningful. I would say it's an improvement in the electrical options across the business, especially as we bring out some new products in both those categories. In the case of MP, it really is predicated on what application it's going into and is their grid or what they call main power available as to whether or not the machine goes out with ICE engine or goes out electric. But again, a lot of customer interest as we bring out new products as the industry brings out new product, I think you'll continue to see a transition to electrical side. And that was part of the investments that we made last year in biotech and Acculon were designed to help accelerate our electric offering as we go forward. So I think over time, I think we're going to see more of it in the current backlog, not substantially different than historical, but an increase in the electrical products.
Stephen Volkmann: And I guess to follow on, over the next few years, presumably, there will be some transition. Do you think that's a margin accretive event for Terex or is it more a margin headwind because of sort of startup and development costs?
John Garrison: So in terms of the start-up and development costs, those are really captured in our ongoing SG&A. We capture our R&D and development in our SG&A. So that's in there. One of the things that is occurring over time and it's part of the reason why the uptick hasn't been as strong is that, the electrical options are more costly than the internal combustion engine or a hybrid models. As we continue to move down that cost curve as more and more industries adopt the electrical technology, specifically around battery and battery technology. It will come down the cost curve, and we believe it will be more affordable. And from a margin standpoint, pretty much right now, our long-term assessment is margin neutral. But again, that does -- we are assuming that over time, which is happening that you see the cost of those units come down as the cost of the battery technology comes down the cost curve globally for those types of products.
Stephen Volkmann: All right. Great. Appreciate it.
John Garrison: Thank you.
Operator: We are out of time for questions today. I would like to turn the call back over to John Garrison for closing remarks.
John Garrison: Thank you, operator. If you have any additional questions, please follow up with Julie, John or Paretosh. Again, thank you for your interest in Terex. Please stay safe and stay healthy. And again, thank you for your interest in Terex, and we look forward to seeing you on the shows in the upcoming quarter. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.